Operator: Good day, and welcome to the SES full-year 2015 financial results. Today's conference is being recorded. You may hear silence until the call begins. At this time, I would like to turn the conference over to Mark Roberts.
Mark Roberts: Well, good morning, everybody. Welcome to our 2015 results presentation. I'm Mark Roberts, Head of Investor Relations at SES. First of all, we are going to hear from Karim Michel Sabbagh, our CEO; Christophe De Hauwer, our CDO; and Padraig McCarthy, our CFO. Then, we will take your questions. We do have a conference line open and the events are also being webcast and recorded. So please could I ask you to mute your phones if you haven't already done so. And now, Karim, the floor is yours.
Karim Sabbagh: Thank you, Mark, and good morning, everyone. So thanks A) for joining us whether it's in person or over the phone to talk about the 2015 result, but equally important for the management, it's also to talk about how we are progressing against our strategy. And this is in fact the first opportunity we have to do that since now we are reporting our revenues along the market verticals that we have set as part of our strategy. The headline for us in 2015 is that we delivered a strong performance, which is setting a foundation for sustainable growth. This is underscored by our revenue growth on a reported basis of 5%, the Group profit after tax of 5% and EBITDA of 4.6%, leading us to recommend a dividend of €1.3 per share, which is equivalent to a 10% increase versus the dividend that was paid last year. Again, equally important for us is to know that in 2015 we were able to build in a strong way in the four market verticals that we are targeting and this sets a very strong foundation for sustainable growth with the existing assets as well as the assets that we will be launching between next week and the end of 2017. Now, to remind everyone, our strategy was based on three thrusts. The first one is truly about building scale and being able to globalize the market segments that we want to prosecute in each and every continent. Two, is to make sure that we have laser-like focus. The satellite industry and the connectivity in general offers a number of opportunities, but it's important for us to zero or zoom on the opportunities where we believe we have differentiated capabilities and we can deliver sustainable growth, and these are video, enterprise, mobility and government. There are certainly a number of other applications or segments that could be addressed, but our focus is really on these four. And last but not least is as we prosecute these four market verticals, always to ask the question what would the future look like? And in conversation with our client, make sure that we are putting in place the right investments so that we have a first row seat in serving these requirements. And when I talk about these four verticals, it's important to visualize the contribution of O3b along these four verticals since the assets of O3b are perfectly aligned to the enterprise mobility and government markets that we are serving. And I will talk a bit more about this. Let me start with the globalization perspective. That is something that I had the opportunity to talk to many of you the first time we've met back in June 2014. And this was not new. Already in 2012, as on page 3, you could see we already had almost 40% of our part of transponder capacity deployed in international market and we continue to grow that. That growth between 2012 and 2015 has been up 16%, which now is equivalent to almost 50% of the capacity that SES has deployed is in international market. And to add to this, the new satellite that we will deploy between now and the end of 2017 will be adding 21% to that capacity. Now, as we were deploying these new capabilities in international markets, we were also as a case in point in video growing our technical reach. So that reach has gone up by 65%. So there is 76 million homes who today are covered, are getting their video experience through the SES satellites. And you can visualize the same multiples in the other market verticals that we are serving. And if you want to translate this into a number of channels, SES today serves in international, so outside North America, outside Europe, a total of 2,900 channels. That's as equivalent to 40% of the total channels that we are serving, 40%. And this is a region that has - or this is the part of the world that has the largest growth, so close to 25% all channels included between 2014 and 2015. Over and above this - let me move to - from the globalization perspective to the verticalization and there - this is the first time we have the opportunity to talk regarding the SES performance in each one of these four markets. Video represents 67%. This has been the heritage; this has been the bread and butter of SES. And we have achieved a growth in the video segment across all the regions of 2.2% on a fixed exchange basis. That is quite significant considering that we did not put new capacity into the market or growth capacity last year. And so what we were able to do is to expand with our assets, our commercial reach. And I will talk a bit more about this. In the case of enterprise, enterprise is a segment where we stepped in relatively later than other FSS operators here, truly bringing connectivity to enterprises across different industries, whether you are in the oil industry or the banking industry or the transport industry and what have you. And there, there were two factors. One is there were two agreements that came to an end, the AMC-15 and 16. And secondly was the interim mission that was provided to one of the national operators. And so when you take out these two, the actual decrease on a fixed exchange basis was of close to 11%. And Padraig will talk a bit more about this. And for us, the priority in enterprise is how do we think about the total fleet and capacity of SES in a way that we can differentiate. And I'm going to talk about this later. And in 2015, we were able to start demonstrating that since we have locked-in very significant agreement with tier 1 global or regional players, moving away from the more localized agreements and services that we were providing, where, at our level, it is not important to differentiate. It's much more important to ask clients what is important to you. And if it's a regional coverage, a global coverage, the ability to provide Sky UK, the ability to provide wide beams and HTS beams, the ability to operate between MEO and GEO, this is where it makes a lot of difference and this is where you can premiumize the service that you are providing in the market. And we will talk a bit more about that. Mobility was our fastest growing segment. It's still small, 3% of our total top line. But at a constant FX basis of - a growth of close to 25%, this has been remarkable considering again that this is a segment where we stepped in probably two to three years ago, a segment where we are serving mostly aeronautical and our sister or affiliate, O3b, is serving the maritime. And through the announcement that you have seen during the course of last year and this year, last year Global Eagle has literally doubled the capacity that they are using. So I'm not talking about the HTS capacity - coming online 2017 is the wide beams. They have doubled that capacity with SES. And then over the past few days in fact, Global came out and announced the largest ever agreement between an IFCIT player and a satellite operator, SES. And two days later Panasonic announced another agreement with SES stating again that this was their largest agreement ever with an FSS operator, partly - mostly on our forward-looking SES-12, SES-14 and SES-15. And if you remember, when I had the opportunity to announce these programs to you, we talked about the fact that we took the time to customize the HTS missions for mobility and mobility, whether it's maritime, but equally important for the airline routes because it makes a lot of difference, the way you are building these beams, the coverage that you are providing, and importantly, how you are building the gateways. And it makes a tremendous difference in terms of the throughput you are delivering, the cost per bip, and obviously, the efficiency of that network. So these three wins with the top three service integrators or providers for the airline must say something about our ability to resonate in the marketplace. And last but not least, in government, despite significant headwind in that market segment, we've achieved on a fixed exchange basis a growth of 3.3%. And I will talk a bit more about this. Let me spend two minutes on each market segment. In video, if you step back and think about where do we differentiate on scale and you think about the in-focus market, so within the region what are the markets or the countries that are important to serve, in the case of the mature market we're serving eight of the 10 in focus market and each one of these markets we have a leading position, i.e., we have the leading neighborhood, and therefore, the broadest technical reach. And the same thing happened in emerging markets or international markets. So we serve eight of the top 10 in Latin America, five of the top 10 in Asia and four of the top 10 in the Middle East and Africa. The latest technical reach count that we have is 312 million household receiving their video signal through SES. The next study will be published by the end of March or early April and certainly we expect to achieve the same progress just if you reflect on the number of video channels that we have grown. And you can step back and think about it this way; we serve today 50 pay TV or free TV platforms around the world. Now, if you try to get a bit more granular, our channel growth over the period of 2012 to 2015 has gone up year in-year out by more than 9%. Now, if you try to get into the detail and just think about the passage from 2014 to 2015, during that period our channel growth went up by 11%. High-definition, which is the premiumize experience, i.e., this is where we can truly create a differentiated video experience and at the same time we can better monetize our capacity since we would need - I mean our clients would need twice the capacity of an SD channel to be able to put this. Our growth in HD was of 18%. In emerging market, our growth in total was of 25% year-on-year growth and we've achieved growth also in our mature market. Case in point, if you zoom on Europe, in Europe it was close to 9%; HD has gone up by 25% in Europe. So in the most mature market our strategy was truly to work with our clients to create incentive for them to move from SD to HD and that again provides a monetization opportunity for us. In the US, we've managed to grow our HD channel count by 5% to 6% and in the international market that number was 96%, i.e., we almost doubled the number of HD channels in our international markets. And so if you step back and say what does it mean at an industry level, we serve close to 25% to 26% of all HD channels that are carried by satellites around the world, so between us and all our peers. And if you add the HD channels of the number two, number three and number four satellite operator, that will not amount to the level that we provide. And last but not least, the number of HD channels that we carry is 30% - HD is 30% of the total part that we have. And our intent is to keep the traction on the migration from SD to HD. And in a few minutes I will talk about HD to ultra HD. And as we push forward this, we're able to achieve that and it's important that I stress that point - we are able to achieve this because it's not just about providing the capacity, but be able to provide an end-to-end suite of services to our clients, so all the media playout, the encryption, distribution, what have you. Because increasing the clients - particularly international clients are saying, look, we need an end-to-end solution, our [indiscernible], our capability is not in that part of the value chain. We really want to focus on the content, the distribution, the monetization and the customer experience and we want you to take care of the rest. And this led us to think about how can we expand this capability because it provides the unique pull-through for our satellite capacity. It becomes a virtuous circle. And we will be talking later today about our recent acquisition of RR Media, which perfectly fits within that perspective. So notwithstanding the fact that we've been growing at a much faster pace than the rest of the industry, we pretty much are very clear as what capability do we want to augment at a global level so that we sustain and further progress this growth trajectory. Now, we're not just satisfied with this. We're working on shaping the future in video. Ultra HD is a case in point. So we have seven unique ultra HD channels that are being broadcast on a commercial basis on the SES fleet and so they translate into 11 channels because sometimes there is one unique channel that is being put in three regions, which translates for us into 11 revenue generating channels. And that - the intent for us is to continue to grow that wedge. So we pretty much know now what the playbook for the transition from HD to ultra HD looks like and it's a matter of the bandwidth we have to work with our client to be able to grow that number further. At the same time, we're very much committed in moving in the direction of a hybrid experience. So SES has introduced SAT IP as a technology a few years ago. Now, we have an industry coming together around it. It's embedded today in 40 - it's embedded in the technology of 40 industrial partners whether they are in the level of the big screens, the set-top boxes, the antennas and what have you. And we have been promoting that hybrid experience for some time now. And the recent announcement by one of our client, Sky specifically, when they have introduced the Sky Q, the Silver box, is the best demonstration that is today in the market regarding a hybrid experience. It marries linear, nonlinear. It has the 12 feeds. It has the ability to take the feed into the master box, distribute it into the two slaves box. That has been the concept that we as an industry have been talking about and this manifestation of the hybrid environment in a pay TV context is in our view an inflection point in accelerating the traction of the concept. And last but not least, on the side of SES we continue to drive the wedge in terms of innovation. FLUID HUB is an all cloud-based managed platform for video services, which resonates very well in emerging market. Smartcard is pretty much batting in that league. LIQUID VOD is our ability - and this is a unique technology for SES to be able to provide VOD over satellites in emerging markets; i.e., this is not about the legacy console, what have you. Through algorithm, we can put a library of, let's say, a multiple of hundred channels or seers of that on our satellites and users will have the same experience as if they were pulling this via a IP-based platform. So you are actually creating a Netflix or an Amazon type of experience using satellite technology. It requires very specific algorithm. It in fact brings together what 5G is talking about, which is the communication, the processing and the storage together. That's what we are able to do with that particular technology, which was demonstrated at IDC. And last but not the least is the LUCID OVP, which is over-the-top video platform, which is our ability to marry linear and non-linear and deliver a seamless experience. And again, our acquisition of RR Media certainly strengthened our capabilities in this area since they have very competent capabilities in that particular space. Let me move to enterprise. Our ability to differentiate enterprise is truly about the scale and that is quite unique for SES. So if you're working with a Telefonica or with an Airbus or with an Orange or with a BT, what really matters is the global coverage, one; the ability to provide a future proof technology, so the HTS technology that we're bringing; the ability to also provide capacity and connectivity that can deal with latency sensitive applications. And later on you will hear me and I will show you the number. 20% of the data centric applications are latency sensitive and that's a market that only O3b can address, 20%. So if you think about an ERP solution, if you think about e-banking solution, all of these are increasingly latency sensitive. As more and more cyber security measures are put into the system, latency becomes an issue. And so when you bring these together and you say how can I differentiate, how can I step out of a crowd of enterprise services, this is really where SES should be batting. Which is why Padraig can talk about this in some of the debriefs during the course of 2015, which is why we're putting this graph in front of you and saying we're doubling down on our effort to move our business increasingly into the large service providers and telcos, which now is around 42%. And we will continue to drive that wedge now that we know that this is the area in which we want to differentiate - which led us to introduce late last year our enterprise plus platform, which is simply about providing higher throughput while reducing the cost per bip. It's very simple. Two, it should be able to provide a global connectivity and simplifying the customer experience. And the satellite industry like in the terrestrial industry, when you are trying to connect an enterprise, the business processes can be quite complex, intimidating and sometimes discouraging. So you have to think about what is going to be the customer experience so that if a group of ATM machines or a group of gas stations or a group of offices that need to be connected in a remote country, how do you do this in the simplest possible manner, how can you deploy the antennas, how can you connect them to a terrestrial network, how you can monitor the performance, so on and so forth. And so we need to take the responsibility for that and provide that seamless experience and reduce the economics for our client. And we have been quite successful at this. There's still some way to go, but that is the direction that we're taking. Moving on to the third bucket, which is mobility, certainly one of the most exciting areas. SES is serving today and is the capacity provider of reference to the top three integrator, service integrator in the aeronautical industry, Global Eagle, Gogo and Panasonic. So day in and day out we're connecting - based on the agreements up to - the end of 2015, there were 2,000 airplanes that were connected over our fleet, which means that hundreds of thousands of passengers were receiving their connectivity experience through SES satellite. And you can picture that with the new agreement, that number will go significantly higher. That was achieved to a great extent through our close working with our client, particularly these three and visualizing what our HTS fleet should look like, so HS-12, 14 and 15. And that work continues because this capacity - to a large extent the HTS capacity for mobility has already been acquired by these clients, so that capacity has been leased. We often talk and Padraig has often mentioned that in the world of HTS we envisage to reach the 75% utilization level later on since it will take longer time. But in that particular case, in the case of mobility, we were ahead of the curve. We are in fact ahead of the curve even before launching the satellite. So it's a great problem to have. It simply means that now we have the question of where do we go from here? And that is part of the forward-looking programs that we intend to develop. In fact Padraig will be sharing a chart that reaffirms our capital investment plan and when you look at the red part of the chart and you add up the numbers, you'll see that there is a number anywhere between €2.2 to €2.3 billion of unassigned CapEx that is providing us with the ability to think through how we're going to design the future mission. And so when we talk about shaping the future, it is going to be simply again about this global network of connectivity, so the mobility plus, that will lower the cost per bip, that will provide the best experience across wide beams and narrow beams and in fact in - or the HTS beam. In fact the Gogo announcement that they have made particularly sighted the ability to work with SES across the wide beams for video broadcasting and the HTS beams for the more data-centric two-way communication, which is again quite unique in our fleet. And last but not least, government, our ability to scale is simply about globalizing that business. It is true that when we acquired GE Americom, that business was mostly US-centric. But if you look at the chart in front of you - and this is the kind of reporting that is important to us because it will help you visualize our executing of the strategy. 23% of the revenue we generate in the government business came from the non-US government. So while the US government continues to be very important, it is equally important for you to appreciate that we're serving 57 governments around the world today and we have expanded the network of agencies, organizations within US governments that we are serving during the course of 2015. And so our focus in the government is certainly on bringing to bear our wide beam capacity, where we have all the specificity for the US government, but also to bring to bear our HTS platforms; the combination of GEO and MEO, which will become increasingly important; and increasingly to customize satellite program for that segment. So the GOVSATCOM joint venture that we started with Luxemburg government, which, when we got it out of the starting gate, already had a very significant agreement, now is benefiting from being in the best position to serve the AGS program that was approved in terms of budget. It's a budget of an excess of €100 million in Europe that is perfectly slated to be served on SES-16. In our view that in the future there will be increasingly a program that will be designed around this. So part of the - and let me summarize. Part of the US requirement, the US government's requirements and the non-US governments' requirements will continue to be served on our traditional commercial satellites and there's going to be an increasing part that will be served on satellite that will be designed with military spectrum, so the X-band or Ka-military. And these typically will be developed in joint ventures with national administrations because this spectrum is owned at a national level and you need to develop a partnership to be able to work with them in these areas. And I have been quite outspoken on the fact that by working through this model of PPP, we as a private sector can bring in the technology, can bring the software in terms of operations and do this efficiently and they can bring in the understanding of the application and the requirements. And they could be participants, economic participants in this program. So it's a win-win for everyone. And in my view, SES-16 is a very good starting point. And so we're introducing in terms of future application this whole idea of government plus - again, very simply, higher throughput, lowering the cost per bip for data-centric, providing a global connectivity that resonates particularly well with the US government and with NATO, and last but not least, to be able to bring GEO and MEO together. And we've achieved very significant wins not just on the defense side, but also in the civilian side. Case in point is our agreement in C-band with one of the Nordic provinces in Canada to serve some of their communities. And I had the opportunity to meet one of the ministers a few days ago around the World Mobile Congress meeting and they were greatly appreciative of how we are able to bring that service in Canada. But also bringing through SES the MEO services of O3b into the US government and that was a first. That has never been done before. And this really allowed us, on the one hand, to bring a very differentiated capability, but also to open the way for O3b. And on this note, let me say a few words about O3b. Now, just to be clear, O3b is the MEO-based constellation that operates between 45 up and down, so it covers most of the globe. That's the choice that we've made. This is where the most population of the globe is based. This is where the other three billions are based. It's a constellation that is delivering based on the currently functioning satellite, 190 gigabit per second with the lowest latency. That latency cannot be matched by any other satellite in the MEO or the GEO constellations. We have 40 clients that are up and running on the system. And again, it's important to - for me to underscore that O3b operates in the enterprise mobility and the government segment that are intrinsic to the SES strategy. So the day when we take control of O3b, immediately these capabilities and services will be brought together with SES to create a seamless integration. And the beauty about what they are doing is perfectly complementary. I'm mindful that there were some questions about cannibalizing and what have you. There can't be cannibalization, first, because we serve aeronautical, they serve maritime. So that thing doesn't work unless ships start going on seas or the other way around. That's not going to happen any time soon. Or that we're able to address on our FSS satellites the latency question, which is not the case. Our differentiators on FSS is the global coverage, is the high throughput, is the cost per bip. This is how we can differentiate. They can differentiate on the low latency. So when they are addressing the energy sector, when they are addressing, let's say, the back-boning or the trunking of 4G and 5G network, that's the capability that is quite unique to them. It would be very difficult for us to try to attempt this on our side. And ditto for government applications that are very latency sensitive. So we have a perfect match between the two. And what is quite interesting about O3b is unlike in FSS fleet, it's highly scalable, i.e., we can deploy 40, 50, 60 satellites. The satellites are produced with a single design. That is very different from the FSS satellite. Every FSS satellite is custom based, every piece of it is custom based. It takes three years to put it together. That's the nominal time. An O3b satellite can be put together on a runway of a year and a half to two years and possibly that industrial model can be further optimized and all of them look the same. So the economics are much more favorable. The production timelines are more favorable. And then any non-recurring cost in improving technology can be amortized on all the other satellites that will come in later, which is something that we were able to do with the batch that is under production as we speak. The next eight satellites, which as stated in our press release, will add an additional capacity or bandwidth of 67%. And probably Padraig or Christophe will explain further this. What is quite interesting is, now we're able to demonstrate with O3b the condition - precedent that we've set for ourselves five years ago, so Romain before me - and I've reiterated this. There were four things we wanted to see from O3b. One is that the technology is demonstrated, that the operation is stabilized, that we are building commercial traction, and last but not least, that the business of O3b reaches a level of EBITDA positiveness. That level will be achieved in H1 2016 - and Padraig will come back to this - which effectively means that the path for SES to take control of O3b would be - the mic disagrees with me. [John], you must have done this. John doesn't want me to say this. But the path for SES to take control of O3b has been cleared, and so now it's a matter of how do we execute the option. There is naturally a question of timing, but that - you have to appreciate it's a matter that will be discussed at a later point. But these were the four CPs. Three of them have been met. One of them will be met during the first half of this year. And therefore, in our view, the path has been cleared for us to exercise our option to take control. And what is interesting for us - and putting aside the taking control - is that the business of O3b is accretive, i.e., unlike the video business where once you connect a pay TV platform, you pretty much are serving it with a capacity that they have locked in. In the case of O3b, once you connect a client, because data application will consume more and more as you bring in more users, it tends to increase very quickly. In fact 50% of the client who came in on the O3b network scale up their requirement. So in fact we have a graph at the level of the O3b Boards that we review every time we meet, and Steve shows us how, let's say, a telco or an old client, what have you, started with capacity X and moved very quickly to capacity Y, so almost doubling in a very short period of time. I can concede that this was not part of the model, but it's a good problem to have. And talking about growth, let me share with you a forward-looking perspective. You have seen this chart before, where we underscore the fact that in video SES-9 and 10 will provide our growth driver, that SES-12, 14 and 15 and all data-centric application whether fixed or mobility will provide us with the growth driver and some of these drivers in fact have already been locked in. They are not yet part of our backlog because many of these very sizeable agreements have been executed over the past week. And last but not least, SES-16. The combination of these on a steady pace, so three year from bringing into operation these satellites and one day achieve utilization level of 75%, which has been our track record. You can expect that this group of three growth initiatives will generate on a yearly basis an incremental revenue of €250 million to €300 million. You would add on top of this the O3b business - and these numbers have been shared by Steve before me, so I have to repeat them - out of 12 satellite, nine into operation and you can envisage that each O3b satellites on a yearly basis generate $32 million to $36 million of revenues. And last but not least is for you to appreciate the backdrop of what SES is doing. So we talked about video. We still have a long way to go as an industry and for SES given our leading position to realize the full potential of SD to HD conversion in the mature markets. And that's the number that you see at the top of this chart. We still have also a lot of potential to seize in terms of all the new free-to-air or pay TV platform that need to be launched in emerging market. We are the largest provider in some of the largest geographies in Asia and there you have pay TV penetration that's still under 15% or 20%. This is where the 6,500 number comes from. And that's not an SES, that's an industry number. When it comes to next generation enterprise and mobility, we are all familiar with the exponential growth of data traffic. And when we think about which part of the data traffic will have the requirement of globalization, resilience, low latency and what have you, that's a potential that we can seize. Mobility is even more interesting for us. When you think that there will be 10,000 aircrafts connected by 2019. And every forecast that was produced - and many of you actually have solid forecast - was proven wrong. I mean it reminds me of the mobile industry back in the early 2000s, where I was an analyst like you, I was a consultant who used to do these models and we used to say, well, you know what, mobile penetration will cap at 25%. And we come back the next year and that 25% became 250%. Now, it's a good problem to have in the model, I can assure you of that. So I think we have the same problem in the models - and I say this in a positive manner - in how we are trying to forecast the mobility business. Because there are three moving parts there. One is the number of aircraft that are being - there's an acceleration in the number of aircraft that are being connected. Two, there is an acceleration in the number of passenger per aircraft that want to be connected. And three, there is an acceleration of the bandwidth that is being provided per passenger on airplane. So you see numbers starting from 500 kilobit to 12 megabit. And your question probably is, what good looks like? You will allow me not to answer this, it's for our competitive advantage. We have a very strong view of what good looks like and that's what is allowing us to draw a very strong commercial wedge with our clients. But as you have these three vectors working together, you can visualize how quickly this market is going to grow. Perhaps you want to put a top line on this, so what does it look like? And if you just take the analysts' forecast, so not the SES one, it's - again you will allow me to keep this as part of our competitive advantage and you just take what is publicly available. The expectation is that when you combine maritime and aero, the CAGR would be around 30% per year. If you just take that 30% and apply it to SES on a pro rata basis, SES has no competitive advantage, we just flow with the market, that 3% that I showed you earlier in terms of contribution on our top line becomes a 10%. But of course we have a slightly more optimistic view of how quickly that market is going to grow. And last but not least, that's the point that I wanted to make earlier. 20% of data-centric applications are latency sensitive that can only be served by O3b. Now, of course you can put that application on FSS satellite, but the experience is going to be suboptimal, either suboptimal in terms of what the actual experience is or the cost of that experience it would be. Now, let me conclude on the following note. As we talk about video, enterprise, mobility, government, it's important that we don't just visualize the business as a group of assets in space because it's about the assets in space, the ground infrastructure and the suite of services along the value chains that we are proving. This is what is allowing us to drive the commercial wedge in each one of these categories, again in government and mobility and enterprise and equally in video. And despite the fact that we have a leading position, unchallenged position in the video segment across the value chain, our view is that we can grow much further and this was the rational for us to think through how do we expand our media services capability and led us to the conclusion that the acquisition of RR Media and the merger of RR Media with SES platform services is going to be highly accretive business. And on this note, I'm going to introduce Christophe De Hauwer. Christophe is our Chief Development Officer. You've met him a few months ago. The reason I would like Christophe to present this is because he was the person who led this acquisition end-to-end and he's the most qualified to talk about it.
Christophe Hauwer: Thanks a lot, Karim. Good morning, ladies and gentlemen. So as Karim said this morning, so we announced the signature of a transaction for the acquisition of 100% of RR Media for $342 million. So first what is RR Media? So looking at it really from eye level, the business RR Media is into is very similar to the one we have in our own SES platform services business, which is about delivering all added value services to broadcasters and video content providers both from satellite added value services, uplink including playout, but also enabling the broadcasters and content providers to provide their content via terrestrial distribution. The acquisition of RR Media fits squarely into the three tenets of our strategy that Karim reminded earlier this morning. The first on globalization; so if we think of SES platform services, this business, great business is generating 3% of its revenues outside of Europe - so 97% in Europe. RR Media generates 66% of its revenues outside of Europe. So you see that already by putting those two businesses together, we enable a much wider footprint geographically of the delivery of our solutions - added value solutions for video. Verticalization; RR Media is all about video like SES platform services is. There are massive synergies by combining those two businesses. Dematuring; RR Media is a very innovative company. Just to give you a couple of illustrations. They have developed world-leading technology for automatic dubbing, so computer generated dubbing of movies or the generation, automatic generation by computers of summaries of sport events. So those kinds of just illustration show the level of innovation that is in this company that's again through the platform services, SES platform services reach as well, we can then provide to a broader scope of customers. On the financial side; so we are making this acquisition for $242 million. This represents a bit less than 9.5 times the 2016 forecasted EBITDA. This is pre synergies. The closing of the transaction should happen mid-year, end of Q2, early Q3. So we should have half year - the second half of 2016, we will have the synergies that we will start to be generated. If we take already those synergies in, the multiple of the transaction is around 9 times EBITDA. Obviously, the synergies will accelerate in the next year, 2017 onwards. The IRR, return on investment, that is generated by the acquisition is in excess of other rates. So it's above 15%. In terms of revenue generation, the business this year, RR Media will generate between $160 million and $170 million. And with this, I will hand over to Padraig.
Padraig McCarthy: Thank you, Christophe. So I'll just in the interest time go to some of the key financial highlights. Starting with slide 22, for anybody following on the telephone, reported revenues and EBITDA grew 5% and 4.6% respectively, reflecting the global diversified profile of our business and the strengthening of the dollar. At constant exchange, revenue and EBITDA declined 3.2% and 3.6%, both in line with our revised guidance. The revenue reduction at constant FX - and Karim touched on this earlier - reflected three legacy developments. First, the lower level of transponder sales to Eutelsat; secondly, the impact of the AMC-15 and AMC-16 renewals; and finally, the planned transition of capacity contracted by ARSAT on to its own satellite. And if we strip out these items, revenues remain flat in the period. EBITDA closely tracked revenues, was down 3.6% at constant FX, while the margin remained strong, overall at 74.2% and this was supported by a reduction in operating costs. If we turn to slide 23; so consistent with our strategy, as Karim said, we are reporting now our revenues by business verticals where we generated growth in three of the four verticals. I won't go through this in detail, but just add some color to what was already said. Our video vertical, which grew 7.5% as reported, 2.2% at constant FX and represent a 70% of our total revenue. The online growth drivers are, one, increased channels in international markets; secondly, growth in HD channel penetration; and for the first time, the benefit of commercial ultra high-definition channels. Services grew from our HD+ plus activities and SES platform services were also important contributors. If we look at enterprise, which represented 15% of our total revenues and reduced 19.2%, if we exclude the two legacy items, the reduction was 11% and this was mainly due to the headwind of a stronger US dollar and certain customers. Now, we identified this issue at half year and took early action to reduce this impact and in the second half of the year we saw enterprise revenues actually increasing year to year. If we look at mobility with 3% of total revenues, this was the fastest growing vertical, up almost 50% as reported, 25% in constant FX, and again with contracts for airline connectivity and maritime being the key drivers. And on the government side, where we saw a 18.8% reported and 3.3% constant FX, we saw good performance from the US government, which was helped by the revenues on the two hosted payloads that the US government won during the year, and we also saw strong growth from the non-US government business, which actually doubled in the year. And finally on the other revenues of €43.5 million, this includes the revenues from the transponder sales to Eutelsat, but it also includes a very important interim mission in ASTRA 1G last year and these two items are the principal reasons for the decline in other revenues versus prior year. If we look at fleet utilization on slide 24, we see a fleet utilization of 72.8%. So it was impacted by the changes in the fleet configuration and namely NSS-7, which was placed in inclined orbit, with a consequent change in both the number of available and utilized transponders. The ARSAT capacity migration resulted in a reduction of 16 available and utilized transponders as the frequencies which are now activated on the ARSAT-1 satellite cannot be commercialized by SES. And on the other fleet additions, which added 58 transponders to the fleet count and net new business added an increase of 22 utilized transponders. If we look to EBITDA on slide 25; so after adjusting for the favorable US dollar impact at constant FX, EBITDA declined 3.6%, with the revenue decline being partly offset by €10 million lower operating cost and these cost efficiencies continue to be an important contributor to the EBITDA margin, which remained at 74.2%. Now, if we speak about margins, just a few words in terms of the margins between infrastructure and services segments, what we see here is the infrastructure margin was 84%, while the services margins increased to 16.6%. It's important to see both the services and the infrastructure margins together. It's important to look at them as a combined view. The services activities deliver important differentiators and also growth drivers for the infrastructure business. And this is what we call pull-through. And if you look here specifically at the elimination column, you will see an 18% increase in infrastructure capacity, which represents the capacity procured by the service companies and resold as part of a package solution. On slide 27, you see the items below the EBITDA line. After adjusting for FX, depreciation declined slightly due to the development of fleet, amortization increased slightly. If we look at net financing cost, we saw an important reduction of 12.5%, mainly due to FX gains in the period. The effective tax rate was 11.2%, so similar to last year and benefited from the release of certain provisions due to the conclusion of audits and assessments. And if you back out these items, the effective tax rate was around the midpoint of the guidance. The share of associates' loss relates to the Group's interest in O3b networks and was €126.7 million, with here non-cash depreciation and the financing cost are the biggest components. On slide 28, we see the free cash flow before financing activities, which continues to improve and increased 20% in the period and this was supported by 17% in net operating cash flow. And as a percent of sales, we continue to see free cash flow increasing from 39% of revenue to 44%. Now, looking quickly at some other key metrics on slide 29, we converted 97% of our EBITDA in the year into cash flow and this led to a 17% increase in our net operating cash flow and at the same time a reduction in our leverage from 2.77 times to 2.54 times. The lower financing costs along with the development of other cost meant that our net profit margin ended up at 33.5%, which was similar to the level of last year, and all these factors together contributed to a strong double-digit returns on equity and invested capital, with a return on invested capital of 10%, being well ahead of our WAAC, which we estimate at 6.5%. And finally, SES is committed to paying a progressive dividend and it remains a key element of our use of cash. For 2015, the Board is proposing an increase in the dividend per share of 10%, which corresponds to €1.3 per share. A quick word on the backlog; what you see on the backlog here is the levels of the backlog have remained more or less constant over the last five years. We saw an increase of the backlog in 2015 to 7.4. What's also important is that over this period the average length of the customer contract within this backlog has remained in each year above 8%. And this is an important point because it means that not only is the business that has been recorded in the P&L replaced, but that we are also signing contracts with similar lengths and maintaining a strong indicator of the future strength of the business. Now, on the new capacity - and Karim covered this in some detail - this is on slide 31. The key points here are we are increasing the emerging market's capacity by 21%, we are increasing the total capacity by 12%, we wait the precise new launch date for SES-9 but we expect it to be shortly, and we will then also in a normal situation expect an OSD at the start of the third quarter. If we move to the CapEx profile on page 32, what we see here - and this firstly, we've updated the numbers to reflect an exchange rate of $1.1 to €1. We've seen a shift to the right of €60 million of CapEx out of 2015 into 2016 and partly into 2017. This is purely the timing of the launch of SES-9 and again reinforcing what we've always said is that a later launch date has no impact on the IRR of the project. All this CapEx is fully funded and is driving the road with the anchor customers for the future, which we've already spoken about. Moving to the financial guidance on slide 33; so excluding any incremental revenues from the closing of the RR Media transaction, revenue is expected in the range of €2.010 billion to €2.050 billion assuming a euro to US dollar rate of 1.1. And if you do this calculation, you see it represents a range of approximately plus or minus 1%. But what's important to take into account is that between 2015 and 2016 we have a number of important items which won't reoccur. We won't have transponder sales to Eutelsat in 2016. We will continue to have a part of the impact of the ARSAT migration because it started last year and it will finish this year. And finally, we've had in the hosted payload a certain acceleration of revenue in 2015. All those account for about 2%. So when you back those out, you see a different profile, which is an organic growth rate of between 1% to 3%. The infrastructure EBITDA margin is expected above 82% and the services activities between 14% and 18%. And if we look at the total EBITDA margin, we see this between 73.5% to 74%. And then the last point, moving to the last point on this slide, in the medium-term the capacity to be launched on the seven new satellites by the end of 2017, we expect this to generate annualized steady state revenue of between €250 million to €300 million once operating at target utilization of around 75%. And you see in the last page of the slide, you see more granularity on the timing of those launches, the ramp ups and when we get to the 75%. And in addition, as previously outlined by Steve, our CEO in O3b, each operational O3b satellite is expected to generate between €32 million to €36 million annualized revenue. And with that, I will hand over to Mark to take care of the Q&A.
Mark Roberts: Thanks very much, Padraig. And now we'll take questions from the room and then we'll cut to questions that may come in over the conference line as they come in. Could I ask you when you take the microphone, please identify yourself and your organization. Giles?
Giles Thorne: It's Giles from Jefferies. I had three questions, please. Starting with the whole fracas this past week between Gogo and American Airlines had led many to consider the timing and implications for downstream consolidation in the in-flight connectivity market. It will be interesting to hear your perspective on consolidation and also your thoughts on any potential revenue risks. So, for example, in the past year you've signed capacity with all three of - Panasonic, Gogo and Global Eagle, as you highlighted earlier for capacity on SES-14 and 15 over the Americas. If three suddenly becomes one and pricing power goes up for the last man standing, what's your exposure there? Secondly, Viasat-3, we're beginning to learn more and more details around Viasat-3 and some of the numbers coming out on the cost per bit or throughput are eye-watering and all else being equal should have the incumbents worried. I'm using deliberately confrontational language. It will be interesting to hear your perspective on that looming infrastructure competition risk and actually how shrewd you think Eutelsat have been by getting into bed with them in Europe. And then lastly on Canal, in France some maybe worried around the size of the challenge Vivendi have in turning that business around. Much of the rhetoric out of Vivendi has been about redesigning and repackaging the entire customer experience. I would be interested to hear what risks you see associated with that turnaround and indeed whether you are part of the solution or part of the problem? That was it.
Karim Sabbagh: So on the first question, obviously we're not in a position to have a view or speculate on consolidation in the IFCIT industry. But here's how the business model works. As more and more airplanes are connected, the demand for increased connectivity on satellite will continue to go up; i.e., you pretty much have a linear relation between these two. So irrespective of whether you have one or three players, you still need that capacity. In fact if you end up with a scenario where there is, let's say, consolidation in region, what have you, you may - you have a thesis that this consolidation will probably enable the development at a faster pace of certain applications, and therefore, it will reflect very positive in terms of demand on our side. It's very different from consolidation in video neighborhoods, where you have two operators, they both are serving on two different satellite. If they come together, there's a nice question where which neighborhood do you keep and which neighborhood do you move away from. So irrespective of how it plays out, this is going to be very accretive to our business. When it comes to what is being discussed and presented in the industry, so you've mentioned one program and there are many other programs. We're taking a view that is very specific to SES, i.e., we believe that the technology of the future should be able to do three things. One is provide the wide beams and the high throughput beams. These two need to work together. One does not replace the other. Secondly, you need to be able to answer the question of latency. As more and more - I mean we are moving increasingly into a world of cloud-based application. This is what 5G talks about. This is what we do on most of our devices. As increasingly moving to cloud-based applications, latency becomes an important issue. And unless you have a way to address it, you're - there's a very sizable part of the market that you cannot serve in a way that is differentiated. And so when you bring these three capabilities together, you have a formidable service offering. Our view is when it comes to wide beam coverage, with the existing fleet and the replacement programs we already have, we pretty much have the right coverage and the right assets. The forward-looking investment we're going to make are going to be in two folds. One is in high throughput on our GEO satellites and we will continue to work with a view that these will be hybrid satellites because you can scale this very, very quickly. The challenge with the different programs that were announced not just recently, but over the past few years is that you build them and it's a fixed program. And if there is any evolution in the technology, you're hostage of the first generation or the second generation and you don't have the ability to scale, which is why we chose to have a hybrid model because you can keep on scaling and leveraging the best technology going forward, but also making sure that is backward compatible. So this is one. And two, you work on a fleet where scaling up from a price standpoint and from a technology standpoint is much more achievable, which is O3b, because you can build these literally [indiscernible] and put them - the industrial model is very different. And we think this is quite unique to us. And last but not least, when it comes to Canal and most of the pay TV operators, I think there's an evolution of the thought process as to what is going to be the video experience of the future and how they are going to differentiate it. And in the mature market, that experience may well be aligning with our thesis of a truly hybrid experience, which is why I've allowed myself to comment in the case of the Sky Q Silver box that this model is a - it brings the best of the two worlds. And even in our conversations - allow me to move beyond a Canal specific. Even in our conversation as part of the 5G PP since this was a recent conversation we've had, in fact as soon as this week on a panel where I participated with the telcos and the equipment manufacturers, so the likes of Ericsson and Nokia and ZTE. There's a converging view now that in the video-centric data demanding world, the satellite solution would need to be integrated. And that was a common view. So this was not the satellite view being discussed in a satellite-only conversation. This was a conversation with the telco players, whether it's on the industrial side or on the service operator side. And so beyond the Canal specific question, we believe - and the mature market where you have the benefit of fixed, wireless and space-based technologies, these thing will come together to create the most cost efficient experience. With the case of Canal, all our agreements and many of these agreements continue to be locked in last year ago until beyond the end of this decade. We work with them very closely. I think in the video industry, you will always see development in one direction or the other. I mean we've seen comparable developments in the case of other pay TV operators we serve in recent years and I think in some shape or form the business will evolve and we continue to serve it, so.
Mark Roberts: Sarah, at the front?
Sarah Simon: I'm Sarah from Berenberg. Yes, I've got three questions as well, please. First one is, Padraig, you made a comment about enterprise growing in the second half. I don't really understand how that can be when you obviously re-priced the business. So you think it was growing sequentially [indiscernible] grown year on year?
Padraig McCarthy: It grew second - sorry, it grew second half, the first half, correct, sequentially.
Sarah Simon: Second half. Okay, great.
Padraig McCarthy: Sequentially, correct.
Sarah Simon: And I assume, obviously, that there is a drag then in the first half as well, but just a lesser drag than you had in the second half if it continues to grow. Is that a fair assumption?
Padraig McCarthy: A drag in the first half of 2016.
Sarah Simon: 2016 versus first half of 2015?
Padraig McCarthy: Yes, that would be correct. I think we would see this continued growth trajectory that we saw sequentially in second half versus first half of 2015. We will continue to see that in 2016.
Sarah Simon: And did that growth come from the customers who you re-priced or was it coming more from the big telcos that you are focusing on?
Padraig McCarthy: On the second one, from the big telcos.
Sarah Simon: Okay. The second question was on mobility. Obviously, the Epic - the Gogo deal that you signed - sorry, the Panasonic deal that you signed was interesting in the sense that they were kind of perceived as an anchor tenant for Intelsat, who's obviously got a few issues at the moment. So kind of broader question, are you seeing business coming your way or conversations being had as a result of people being nervous about the potential direction of Intelsat? And then I'll just wrap up. The last one I had was, there was obviously some concern that maybe you were thinking about not growing the dividend by the full 10% given that as you have been very clear you want to take control of O3b. Should we read into this that your intention is not to go to a 100%? Thanks.
Karim Sabbagh: Let me take the - so the discussion with Panasonic started a while ago. So they had very specific requirements over very specific routes in the Americas. And after lengthy discussions and reviews and as we were developing our programs, the best - it was really between what they were bringing to the table and the capacity that we've had. So there is no relation whatsoever with - I mean it's a hypothesis, but we don't believe. I mean the timings didn't - certainly they didn't happen at the same time. And when it comes to O3b, I'm happy to offer my perspective, the answer is no. Our optionality to take control of O3b continues to prevail. In fact if I can reiterate what I have said, now that optionality - the path to that optionality has been cleared, so it's just a matter of how you want to execute it and whether this optionality is a 50 point one or 100% remains on the table. Nothing has been eliminated.
Mark Roberts: Alisha, please? A - Alisha Michaels It's Alisha Michaels from Morgan Stanley. I've got a few questions. You've grown well in your [indiscernible] your video business. Have you - do you think you will be seeing the impact from the [indiscernible] migration and whether that will still be offset by your HD and ultra HD efforts? And then on O3b, do you see any risk from the MEO constellation in the near future coming online and whether O3b is still able to compete with the MEO satellites? And then finally on SES-9, there were big delays. Last time I remember that your [indiscernible] were quite decent on SES-9 before launch, but obviously you are waiting for the launch to take on more customers. Have you seen any [indiscernible] from the customers that are waiting for the launch or are you still on the same level of [indiscernible] see any risk there? Thank you.
Karim Sabbagh: Thank you. So on the first question, you're - the model that you've outlined is spot on, i.e., our ability to achieve very high growth rates from SD or transition from SD to HD is allowing us also to manage at the same time transition from MPEG-2 to the MPEG-4 and we continue to be successful. I mean for you to appreciate, we're probably the most advanced in terms of this transition, 60% already has been migrated to MPEG-4. But given also the high growth in the number of channels that we've achieved particularly in HD, we mitigated that and we've delivered a reported growth and as well as a growth on constant FX. So that is exactly the model that we will continue to work on. And if you remember, I've mentioned this back in 2014 and I continue to believe that that's the way to go. We should in fact encourage this passage from one generation to the other because, if anything, it's democratizing a much better experience to everyone, which will play out in the long-term much more favorably to the satellite industry. To the questions on LEOs, most of the LEOs that have been announced have been announced in the consumer broadband business. So I think the question will be, well, how this will impact the consumer broadband business that is being served today via GEO satellites. And we took a view within SES that we can only have laser focus and commitment to four market vertical and consumer broadband is not part of our coverage. And last but not least, your point is very relevant in terms of SES-9 and our clients. We've managed this very well with them. So all our contracts are geared in a manner that as we bring these clients online during the second half of this year, we remain perfectly within the framework of our agreement with them. So we should continue to expect that quickly into the period post the operationalization of the satellite we will reach the 65% utilization level.
Mark Roberts: Do we have any questions online? Yes, could you patch that through, please? Hello?
Operator: [Operator Instructions] We will now take our first question from Paul Sidney from. Credit Suisse. Please go ahead. Your line is open.
Paul Sidney: I'm also going to try three questions, please. Just in terms of ultra HD, the channels that you're broadcasting already, just looking at the names, it looks more to be entertainment channels and obviously the general consensus is that ultra HD will be led by sports and movies. I was just wondering if sports and movie is going slower than you expected in terms of take up or was entertainment going faster? And then second question, I was intrigued to hear comments on O3b in terms of 50% of your customers - or O3b customers I should say scaling up capacity. Is it possible to give us an idea of who those end customers are that are scaling up? And then just lastly on the Panasonic, Gogo deals. Obviously, these - all this capacity won't really be available for them until 2017-2018. And what does that mean in terms of your opinion on what the demand is going to be for capacity per aircraft in three, four years time? Thank you.
Karim Sabbagh: Okay. So let me address them. And I need to be reminded, Padraig, about the first one. You fired them too quickly for me to take note. On ultra HD, you're absolutely right, our working hypothesis was that sport will be the driver of the rollout of ultra HD and it turned out that entertainment has served as the more relevant entry point. So sport will come into the foray with the big events whether it's going to be in soccer or the Olympics. So we're talking about the next one to two years. But at the same time - so in the meantime we expect the demand for entertainment type of channels will significantly increase. One of the areas that we are working on with one of our longstanding client where we already have an agreement for dedicated capacity for ultra HD is that this will be utilized for the signature ongoing sport events. And so the sport factor in the hypothesis will come in, but this will come in only within a specific market. I think at a global level we will need to see these more global events. And in a sense, it is a nice problem to have because with the entertainment channels gaining traction, it means that we have a wider - I think a wider window to start from in terms of moving ultra HD from a finite number of channels to a much larger number of channels. And interestingly, and if you allow me to go back to the Sky Q Silver box, it comes already with 4k enabled capabilities, which again demonstrates that the market is moving in that direction. On the second question in terms of O3b scaling up, the most evident one was when we were connecting telcos, so a trunking solution, let's say, in the Pacific island. And after a while, let's say that one or two beams that were used to connect communities of hundreds of thousands or millions of inhabitant. As you provide that service, and it's a bit the same behavior that we have as data users, and as people experience certain applications that are online, immediately they start to pull through more. And the advent of O3b has done two things. It's not just - it was not just about providing a much better connectivity and low latency, it provided it at a much better price than the alternative solutions that were available. Probably the alternative solution pre O3b were traditional satellites, which was very expensive. So by bringing a better service and delivering at a lower price point the number of these telcos scale it up. The other area where we saw a very quick uptake was certainly in maritime, specifically with Royal Caribbean. And again, Royal Caribbean committed for a certain level of capacity for a certain level of ships. And as we saw - as they saw their users, their passengers coming online, it sort of created two things. One is they increased the number of beams that they committed with us to serve a larger number of cruise ships. And Steve has talked about this and they have talked about this. So this is public information. And, b) the consumption per ship has significantly gone up. And again, in energy, we've seen the same behavior. The last but not least, when it comes to Gogo and Panasonic - so if I can step back. Gogo and Panasonic are currently operating on the SES fleet, so they have been longstanding clients of SES, both of them along Global Eagle. What Gogo has done is they have committed higher capacity on our wide beams as well as they have taken very significant capacity on high throughput beams on SES-14 and 15. What Panasonic have done, because they were already very present on our wide beam fleet, is they have taken very significant capacity on SES-14 and 15. And in the case of Gogo, their optionality is also on SES-12 since the high throughput beams would serve other parts of the world. So they are already part of our fleet. And in the case of one, they have increased the demand on the current fleet, so this would be accretive to our revenue this year. And the same model that we are currently serving also Global Eagle. Did I answer your questions?
Paul Sidney: Yes, that's great. Thank you.
Karim Sabbagh: Thank you.
Paul Sidney: But can I just maybe follow-up whether you have any views on the amount of capacity going in per aircraft, say, in three or four year's time given what Panasonic and Gogo are obviously preparing themselves for in the future? I mean is it going to be three times, four times capacity or 10 times if we are talking about linear TV, et cetera?
Karim Sabbagh: Okay. Look, in a sense this is part of - I think what differentiates us is we have clear views on this model. But I will just reiterate what publicly has been stated. So many of the contracts that exist today between service integrators and the airlines would be, let's say, a delivery standard of 20 megabit per second per airplanes for 50% of the time and a slightly higher number for another 50% of the time. Some of the discussions that are ongoing with the airlines, so some of the other fees that are being put in place are pointing to a number that is probably closer to 175 to 200 megabit per second. So you move from an environment of 20 to 200 and that move probably will happen over the next - by the end of this decade. And if you just sort of visualize what it means, it's not just the megabit per second, but the megabyte that you have because it's one thing to provide the pipe, another thing also is how much you can carry on this pipe. And there you also have to think about the multiplier effect of the number of passengers who will be increasingly connected, because at the moment this is not a democratized experience. So there's only - when we travel, when we take a long haul flight there's only handful of travelers, either because there is a hurdle of the price point or whatever. So you have multiple effects. One is the number of aircrafts connected will increase very rapidly. Two, the bandwidth delivered per aircraft to your point will increase, so we move from an environment with a 10 or 20 megabit per second to a number that probably has an additional digit next to it. And three is the number of users per airplanes. And so we have our own models. We have the benefit of discussing these with our clients. So we continue to evolve our view and that evolution continues to sort of - puts the onus on us to think about further capacity that need to be brought online. One of the challenges in the industries, to be clear, is not that we can't deliver more bandwidth per airplane, but many of the antennas that are certified are still antennas that are certified with a paradigm of 20 or 30 or 40 megabit per second. There's increasingly now discussion in industry about 100 megabit per second antennas like the Gogo antenna that has been mentioned. And all of this is positive because the antenna you can think of it as the gateway. If the antenna can take 100 megabit per second, it means that the passenger on the airplane can benefit from it. But if the antenna is only limited to a multiple of 10, even if you put 1 gigabit on the airplane, the antenna doesn't distribute it. And so there has to be an evolution in the value chain and I think the recent announcement of Gogo with their next generation antenna is going exactly in this direction and the other service providers we are working with are pretty much down that very same route. So the development is not just at the level of the satellite, it's also at the level of the antenna, the Wi-Fi system in the airplanes. Look, I can talk about mobility for days, so I suggest we move on to the next question.
Paul Sidney: Sure. Thank you very much.
Mark Roberts: Yes, we've got time for one last question. Are there any more on the line?
Operator: Our next question comes from Laurie Davison from Deutsche Bank. Please go ahead. Your line is open.
Laurie Davison: The first question is just on your €250 million to €300 million growth in revenues on slide 15. Can you break that down by application so as to just give us an idea of where you see the highest growth? The second question is just go back on O3b and the considerations both in terms of timing and valuation that you have for moving to 100%. You clearly outlined four considerations for the path to majority control. I'm just wondering what those considerations are to move to 100%. The third question is just - I was interested by your points on Sky Q and Canal+ , because both seem to be odds with what those companies are saying, which is they are despite ultra HD they are actually achieving savings on their satellite transmission and aim to do so going forward. How do you square that with what you are saying and also are you actually selling any of your FLUID HUB, Liquid VOD, also IP products into either those customers? Thanks.
Padraig McCarthy: Yes. So, Laurie, it's Padraig here. I take your first one. Actually, on page 36 of the presentation, you actually see in terms of timing and how we see these different ramp ups and what you also see very clearly are the number of transponders involved. And from the number of transponders point of view, these are the Ku transponders. You have to add on to that the fact that we have and using the rule of four up to 250 equivalent Ku transponders on our SES-14, 12 and 15 for mobility. So overall we are not guiding by individual vertical, but I think you have a very granular outline there and clearly SES-9 and SES-10 are global video. And you see there that we are adding 81 transponders. And you see the ramp up and I think you can estimate the pricing. So that's really great granularity. GovSat, which will come in next year, is government and there you have 68 transponders. And then as I said, the other big chunk is mobility. And so each one is an important growth driver. But where - you can look based on this input very clearly as to what you see the different percentages are. But there's no insignificant growth driver; each one is significant.
Karim Sabbagh: Laurie, you had a question regarding O3b. So a meeting before consideration, which makes the path to a stake control clearer. So from a timing and valuation standpoint, it is too early for us to comment. There's a due process which is underway in terms of conversation with the SES shareholder. It's a - with the non-SES shareholders of O3b. It's a process that we always had in place with the clarity around the four criteria. So what I will comment - and again I go back to the statement I made earlier. It has always been our intent to take control and we stated this time and again in no implicit manner. It has always been our intent to do this in a manner where it is compatible with our business from a strategic standpoint. And I trust my presentation today along with what Padraig presented makes it clear that the strategic fit and all the elements of the operation, the economics now would provide the right fit. And it's a matter now of going through a due process or conversation with the non-SES shareholder to identify the optimal scenario for them and for us. And I think with the numbers that we have shared so far on the revenue side and the number that we shared initially in terms of the construct, you can pretty much sort of I think visualize what the valuation would look like, which would be very interesting for us as well as for the non-SES shareholders. On the Sky Q, I gave this as an example of a hybrid system that now is being rolled out at a scale level in a mature market by one of the leading pay TV operators. And so to go back to a statement I have made time and again, this is not a binary environment, one replacing the other. In fact that particular box and future boxes in the future or future - I don't want to call them boxes, but future ecosystem in the home in the future will be able to optimize the different technologies and connectivites. And I have heard that comment where there could be an optimization or utilization of capacity whether it's on satellite or terrestrial. I think this ebb and flow will always exist. It has always existed. I have had the privilege of meeting the CEOs of many of our clients and they are very appreciative of what we are bringing to the table. So there hasn't been a discussion to the effect that by introducing the service we intend to reduce that particular service from you. That conversation hasn't happened. But the ebb and flow dynamic I think is very normal as part of a technology centric business like ours, which is why again we always think going forward if this technology is introduced how we can turn this into an advantage in terms of user experience - and the MPEG-2, MPEG-4 is a case in point. We should not be concerned by this. On the contrary, we should welcome it because it's a mechanism for us to democratize the HD experience and we have a number of years to demonstrate that we will be able to do it. There was a question regarding LIQUID VOD and LUCID OVP. So the answer on LUCID OVP is this is a platform that was deployed with clients in - who are part of the in focus markets in our mature segments. I cannot name who the clients are, but absolutely it resonated very well with them. And in fact RR Media have these capabilities already deployed and some of their deployments are in fact in some of the advanced markets, a case in point is North America, where they are providing the seamless experience across multiple platform particularly for the most premium events like the NFL and others. And maybe you want to add some colors, Christophe.
Christophe Hauwer: When it comes to the LIQUID VOD, which is when you think about communication, storage and processing of content over our satellite, this is particularly relevant for emerging markets or for international markets where there is no adequate fixed infrastructure. And this has resonated very well particularly with some of the regional or global telcos serving these international markets.
Unidentified Company Representative: Yes, just to add - the mic works?
Mark Roberts: Yes, yes.
Unidentified Company Representative: Okay. So just to add I mean very quickly, indeed RR Media they have a product which is called Solar, which is also an online product, which has features that are some of them similar, others complementary to our FLUID product. And they have tier 1 customers using the Solar product. And we see there on the product development side great synergies between the two platforms.
Mark Roberts: Thank you, gentlemen. I'm afraid that we have run out of time now, so I'm afraid we can't take any more questions. But we do remain at your disposal on the usual coordinates. I would like to thank you all whether online, on the conference line and also all of you here in the room today. Thank you.
Operator: That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.